Operator: Ladies and gentlemen, thank you for standing by. And welcome to the IQVIA First Quarter 2018 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. As a reminder, this conference is being recorded, Wednesday, May 02, 2018. I would now like to turn the conference over to Andrew Markwick, Vice President, Investor Relations. Please go ahead.
Andrew Markwick: Thank you, Tina. Good morning, everyone. Thank you for joining our first quarter 2018 earnings call. With me today are Ari Bousbib, Chairman and Chief Executive Officer; Michael McDonnell, Executive Vice President and Chief Financial Officer; and Nick Childs, Senior Vice President, Financial Planning and Analysis. Nick is new to this call, and he joined the company a couple of months ago to lead our financial planning and analysis function. Today, we will be referencing a presentation that will be visible during this call for those of you on our webcast. This presentation will also be available following the call on the Events & Presentations section of our IQVIA Investor Relations website at ir.iqvia.com. Before we begin, I would like to caution listeners that certain information discussed by management during this conference call will include forward-looking statements. Actual results could differ materially from those stated or implied by forward-looking statements due to risks and uncertainties associated with the Company's business, including the impact of the changes to the revenue recognition accounting standards which is discussed in the Company's filings with the Securities and Exchange Commission, including our Annual Report on Form 10-K and subsequent SEC filings. In addition, we will discuss certain non-GAAP financial measures on this call which should be considered a supplement to and not a substitute for financial measures prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the comparable GAAP measures is included in the press release and conference call presentation. I would also like to point out that as with other global businesses, we have been impacted by year-over-year foreign exchange fluctuations. I would now like to turn the call over to our Chairman and CEO, Ari Bousbib.
Ari Bousbib: Thank you, Andrew, and good morning everyone. Thank you for joining our first quarter 2018 earnings call. We finished 2017 with strong momentum, and I am pleased to report we continued this momentum in the first quarter of 2018. Once again, we delivered strong financial results with revenue and profit numbers above our guidance ranges. Let's review the quarter. As we enter our second full year following the merger, we're now able to see our financial performance compared to the same base as last year. I would also like to acknowledge the extraordinary work of our finance organization they have been able to ASC 606 numbers to a high degree of precision for both 2017 and 2018. I am pleased that we were already able to bridge the change in accounting standard first out of the gate in last quarter's earnings release and we are able to provide full transparency into growth under the new standards today and going forward. The team delivered very good results once again. First quarter revenue of 2,563,000,000 borrowers grew 8.6% and was higher than our guidance range. The revenue bid was driven by three roughly equal components. First, organic operational upside which we are flowing through to our increased full year revenue guidance. I will note that this organic upside was the entire driver of the adjusted EBITDA bid as well. Second, the phasing of pass-through in our R&D Solutions segment which came in at about $390 million for the quarter and a little higher than we had anticipated which is entirely due to timing. And third, an FX data win versus our guidance range which we are also flowing through to our increased full year revenue guidance. You should note that while FX have revenue in the first quarter, it had no material impact on profit. The primary reason for this is the mix of locations where R&D work is performed. Also, we do have some currency hedging below adjusted EBITDA which upsets any residual FX benefit at the adjusted EPS level. From a segment perspective, first quarter Commercial Solutions revenue grew 14.1% reported and 9.3% at constant FX which is again better than we had expected. R&D Solutions grew 8.1% reported and 5.8% at constant FX also better than what we had expected. Integrated engagement services revenue was down 9% reported and 12.8% at constant FX and that's as we have expected. Now as you know, we did several acquisitions last year primarily of technology assets and primarily in the Commercial Solutions segment. So we would like to provide more color on the revenue impact on acquisitions on this call. At constant currency, Commercial Solutions grew 9.3% of which about 4% was organic. In the R&D Solutions segment, constant currency growth was 5.8% and a gain about 4% was also organic. So acquisitions represented over half of the constant currency growth in Commercial Solutions and at about one-third of the constant currency growth in R&D Solutions. Now acquisitions can be hard to predict and while we did several last year, we did very little during the first quarter. We spent $20 million which did not contribute meaningfully to first quarter revenue. Separately, you may have seen that we took a minority stake in Quintiles, the healthcare data and analytics company which also happened to be a $20 million investment. We are excited about the opportunity to join Memorial Sloan Kettering and other prestigious institutions as we all look to address the value of cancer care through real world technology enabled analytics. Turning to profit, adjusted EBITDA of $547 million grew 8.5% again beating our expectations. Compared to our guidance range the beat was primarily driven by the drop through from strong organic performance on the revenue line. As we know and as I mentioned earlier FX had no impact on EBITDA and pass-throughs have not impact on EBITDA either. Adjusted diluted EPS of $1.34 grew about 20% relative to our guidance range the beat was driven almost entirely by our strong operational performance and one thing of various plus and minus items below the adjusted EBITDA line. Now I’d like to provide more color on our margins. As you know, we've said all along that our intention is to grow our profit faster than our revenue and expand our margins. This past quarter we did indeed have solid margin expansion in the core business at constant currency. Revenue conversion contributed 100 basis points of margin expansion, and all cost takeout actions contributed 120 basis points of margin expansion. As you know, we committed to a cost synergy target of $200 million run rate savings exiting 2019 and we are still on track to achieve this goal. Now in addition to the national headwinds from annual wage inflation, we are also making investments in the business to accelerate growth including increased go-to-market resources, data scientist to support our R&D next generation capabilities, specialty data panel especially in the emerging markets, investments to replatform our global CRM and MCM capabilities, and of course technology acquisitions which have a dilutive impact on our margins. All these items plus and minus net to 40 basis points of margin expansion at constant currency in the quarter. So in summary, we’re very excited by the operational momentum in the business. Before I close my remarks and turn it over to Mike, let me mention some of the most important wins in our key businesses. In our tech business, you may have seen that record [indiscernible] Italian midsize pharma company signed a seven-year deal to deploy our orchestrated customer engagement or OCE SaaS offering in 17 countries. Note, this was a highly competitive win and it was awarded to us based on our highly differentiated capabilities including a tool that utilizes our official intelligence and machine learning to integrate various functions within our commercial operations. Our R&D Solutions business continues to gain momentum. We now have contracted backlog including pass-throughs which exceeds $15 billion. We continue to see strong traction with our next generation capabilities and now have approximately $1.6 billion of R&D awards since the merger and this is excluding the pass-throughs. These awards all utilize our advance technology and analytical driven approach to clinical development. For example, during the quarter we won a large project with the U.S. biopharma client. The deal was won through our ability to identify high-performing sites for patients with a serious autoimmune disorder. This project will cover series of Phase 3 studies. I also want to mention that the R&D team is working hard to advance our cutting edge virtual trial solution. We’re having very encouraging discussion with clients and have a large pipeline of virtual trial opportunities. I look forward to reporting more as we make further progress in this area. We also had great wins in our real world insights business and example includes an innovative deal with a leading U.S. biotech company. This novel synthetic clinical trial will compare a single arm population to a real world data cohort competitor. Instead of setting up multiple competitor arms within the trial, we will benchmark the trial outcomes to retrospective real world data. Importantly, this study will be used to support a regulatory label expansion. Our significant domain expertise to design this innovative studies access to the right real world data and collaboration with regulators all are critical to this important win. With that, let me turn it over Mike McDonnell our Chief Financial Officer to take you through the financials in more detail.
Mike McDonnell: Thank you, Ari, and good morning everyone. As Ari mentioned, we had a strong start to 2018. Let’s review the financials which I remind you are now on an ASC 606 basis for all periods presented which includes 2017. First quarter revenue of $2,563,000,000 grew 8.6% reported and 5.2% at constant currency. Commercial Solutions revenue up 985 million grew 14.1% reported and 9.3% at constant currency. R&D solutions revenue of $1,365,000,000 grew 8.1% at actual FX rates and 5.8% at constant currency. Integrated Engagement Services revenue up 213 million declined 9% at actual FX rates and 12.8% at constant currency. And now turning to profit, first quarter adjusted EBITDA of 547 million grew 8.5% reported and 7.4% at constant currency. Adjusted EBITDA margins decreased 10 basis points on a reported basis but expanded 40 basis points at constant currency. As Ari mentioned we, had solid margin expansion in the core business driven by revenue conversion and cost takeout which was partially offset by the many investments we continue to make in the business. GAAP net income was $69 million and GAAP diluted earnings per share was $0.32. Adjusted net income of 285 million grew 8%, growth was primarily driven by stronger adjusted EBITDA below the line benefited from a lower tax provision due primarily to the Tax Cuts and Jobs Act. These benefits were partially offset by higher depreciation and amortization and interest expense from higher debt levels. Adjusted diluted earnings per share of $1.34 grew 19.6%. Year-over-year growth was driven by higher adjusted net income which I just discussed, as well as the lower share count year-over-year. On this basis, our LTM contracted net new business at March 31, 2018 was 4.72 billion representing year over growth of over 15%. If you focus on the quarterly bookings contracted net new bookings in the first quarter of 2018 were up 17.5% versus contracted net new bookings in the first quarter of 2017, again on the old basis. I know the industry is still calculating the old book-to-bill ratio. We have suggested in the past this metric may not be as useful or meaningful to predict future growth. However, if you were to calculate on the old basis, you would derive an LTM book-to-bill ratio that is around 1.26 or so. And for the quarter on the old basis, it would be in the same range and by the way if you were curious and wanted to calculate the book-to-bill ratio under the old, old method based on awards, the number would be well north of that. Now back to the new standard, this book-to-bill metric is even less useful or meaningful because it is less precise. We will not report net new business or book-to-bill metric inclusive of pass-through going forward. However, you will be able to calculate them by taking the difference in backlog and backing out revenue. I want to draw your attention to a number of reasons why again this metric may not be as meaningful under the new standard. First, [indiscernible] is not finalized at the same time as contract signature and although we have a baseline number at the time of contract signature, it does not have the same degree of precision at service bookings. It is also subject to more fluctuation than services bookings during the life of the contract. Second, business line and therapy areas within the industry have varying levels or pass-through. Functional service provider, data safety science and regulatory and the lab all have little pass-through. Therefore, a swing in new business between this type of work and full clinical could significantly swing the book-to-bill in a given quarter. And third, we're expecting pass-through revenue to decline in 2018 as we indicated when we provided our guidance last quarter. Therefore, the inclusion the past done bookings could inflate the book-to-bill metric. For example, a higher mix of pass-through revenue with lower mix of pass-through net new business would deflate bookings metrics. A lower mix of pass-through revenue with a higher mix of pass-through net new business will inflate bookings metrics. Finally, as a reminder, pass-through has zero impact on profit over the life of the contract. Taking all this into account, let’s turn to backlog including reimbursed expenses. Closing backlog at March 31, 2018 was $15.16 billion. To assist you in building your models, we have also recast December 31, 2017 backlog to include reimbursed expenses which is $14.84 billion. Before we turn to guidance, let’s spend a few minutes on the balance sheet. At March 31, cash and cash equivalents totaled $960 million and debt was $10.4 billion resulting in net debt of about $9.5 billion. Our gross leverage ratio was 5.1 times trailing 12 month adjusted EBITDA, net of cash our leverage ratio was 4.6 times. Cash flow from operating activities was $182 million in the first quarter. Capital expenditures were $88 million and free cash flow was $94 million which compares favorably to the negative $22 million we reported in the first quarter of 2017. As it is usual during the first quarter, our free cash flow was significantly impacted by annual incentive payments to employees. As Ari mentioned earlier, toward the end of the quarter we repurchased $86 million worth of our shares in the open market. We currently have approximately $1.6 billion remaining under our share repurchase authorization. Let's turn to 2018 guidance inclusive of the adoption of ASC 606. We are raising our revenue guidance by $50 million to flow through the first quarter currency benefit and the organic operational upside. We now expect revenue to be between $10.05 billion and $10.25 billion. We told you last quarter that under ASC 606 pass-through revenue is expected to dampen 2018 R&D solutions revenue growth by about 3.5 to 4 percentage points and total revenue growth by about 2 percentage points. We're still tracking to these estimates. This revenue guidance assumes current foreign currency rates remain in effect through the remainder of the year. Now the FX fluctuation had little impact on our profit metrics. We are reaffirming adjusted EBITDA, and adjusted diluted EPS guidance which is still expected to be between $2.15 billion and $2.22 billion for adjusted EBITDA and between $5.20 and $5.45 for adjusted diluted EPS which represents year-over-year growth of 14% to 20%. We're also reaffirming our full-year tax rate guidance which is expected to be approximately 24% for the adjusted book tax rate and approximately 17% for the adjusted cash tax rate. As in previous quarters, we will also provide guidance for the coming quarter assuming foreign currency rates remain at current levels through the end of the second quarter we expect revenue to be between $2.47 billion and $2.52 billion, adjusted EBITDA to be between $510 million and $530 million, and adjusted diluted EPS to be between $1.17 and $1.24. This adjusted diluted EPS range represents growth year-over-year of between 13.6% and 20.4%. In summary, we entered the year with solid momentum. We delivered strong financial results with revenue and profit numbers above our guidance range. Adjusted diluted EPS grew about 20%. R&D Solutions, LMP contracted services net new business grew 14.5%, R&D Solutions' contracted back log now exceeds $15 billion. Our next generation R&D capabilities continue to see success in the market with approximately $1.6 billion of post-merger awards, and our commercial team continues to drive new business wins with our OCE SaaS based offering. And with that, I would like to ask the operator to please open the lines for Q&A.
Operator: [Operator Instructions] Our first question comes from Sandy Draper, SunTrust. Please go ahead.
Sandy Draper: One, first just start out with a quick housekeeping and I apologize if you have answered because I jumped on the call a tiny bit late. Did you give an adjusted backlog to exclude the pass-through revenue or you’re just going to go forward always including the pass-through revenue.
Ari Bousbib : Yes, we did not give that Sandy, it's Mike speaking. We tracked obviously 605 and 606 throughout the year, last year, and we fully have implemented 606 at this point and that’s the basis upon which we are going to report backlog. We did give a 12/31/17 backlog under 606 for comparative purposes.
Mike McDonnell: And I think in addition to that, I mean that’s important thing here is 606 backlog or whether its 606 revenue. We have given you next 12 months backlog from that metric as well, which you will see on the edge of the slides in the presentation, which is now expected to be $4.6 billion. So I think that should help you in terms of your modeling the rest of the year.
Sandy Draper: And the next question, and I know you guys probably have answered this a lot and been tried of, but it will be helpful just to get the updated view. There is certainly some level of concern out there just across the industry about pharma M&A. Can you just walk us through again sort of how you view the near term impact and any exposure to consolidation, and then on both sides of the business and how expose you would be and then what you think about longer term impact of form a consolidation? Thanks.
Ari Bousbib : Look this is not the new phenomena. It has been happening for decades in industry so both legacy businesses have a lot of experience dealing with these phases of consolidation. First you should know that we are very well diversified provider of services to the pharma industry. There is probably no one out there that provide as much stuff to pharma as we do. We've got offerings in multiple countries around the world, and there is no one really that does not buy anything from us. Customer concentration as a result over that is very low. I think our last client is less than 10% of revenue, actually the highest is maybe half of that. On the commercial side, it depends on the nature of the combination. The area of our business that would be theatrically most affected by merger is the data business because obviously we are the largest supplier of that offering and so it's very likely that when two companies merge, they were both using our data. And again, here the impact on the data side will depend on the nature of the combination. Through the degree that needs our complementary therapies and complementary pipelines, then the effect is de minimis because there is no overlap. To the degree that they are exactly overlapping usually those mergers don't take place. They are regulatory opposition to those and so historically we’ve modeled this in the past and $2 of spend doesn’t become $1 of spend. And I am talking about the data side here. Over several years potentially the impact goes from $2 to $1.8 that’s only on the information side. The rest of the business is virtually not affected. Again on the R&D Solutions it's a backlog driven business, there is good visibility into future revenues, we sometimes actually those mergers may be an opportunity to serve more depending on who is the surviving preferred supplier and bear in mind the legacy Quintiles acquisitions was locked out of many large accounts. So it has happened in the past that an acquisition actually has enabled us through penetrate decline that we have locked out from before. So again overall we feel good about older merges that have taken place, that have been talked about and do not expect any noticeable impact on our guidance.
Sandy Draper: And just final one and I will jump back in the queue. Lower level of share rate purchases in the quarter obviously than we seen in the past, that just some normal timing and maybe that the lower cash flow, or was there any change in profit that you thought about share repurchase? Thanks.
Ari Bousbib: No, there is no change, absolutely no root. If you go back to the entire past year, this is consistent with what we have done. We have done a $100 million plus or minus of open market purchases quarter in and quarter out. The difference is when there was a secondary offering by our sponsors, then we generally took the opportunity to participate in this secondary offering and buy $200 to $153,000 million worth of stock in that secondary. But that hasn’t happened in the past quarter our existing PE shareholders do not - do a secondary in the quarter and so we didn't have that opportunity. So there is a open market purchases I think we bought $86 million, I guess last quarter we bought $130 million, quarter before 170 something, the quarter before 78, I am talking about open market purchases and bear in mind we couldn't buy anything before the earnings release, which was February 14, 2018, and then we precluded from buying for at least some quarterly to the week after the earnings release. So the open window is relatively short because obviously long before the end of the quarter we also - out of the market. So, a small window and consistent with the past. We will continue to repurchase if our sponsors choose to go second in the future, we will look to participate and there is no change whatsoever in our intent to repurchase there, we still have $1.6 billion of share authorization and we intend to use it whether in the next 12 or 16 or 18 months or so couple of years certainly we will use that authorization.
Operator: Our next question comes from Erin Wright, Credit Suisse. Please go ahead.
Erin Wright: I am curious kind of where we stand in terms of the cost saving plan, are you ahead of plan on that front and just a broader integration process. So does it continue to be on track or you need some meaningful accomplishment, I guess stage, but what are the next steps in integration and cost savings progress. I guess where it stands now? Thanks.
Ari Bousbib: I think we said that we expected to be on the run rate of $200 million of cost stack out executed by the end of 2019. That is end of year three after the closure of the merger. The way synergies happened as you know it's kind of - its an accelerating ramp, so it's usually the 20% or so is in the first year and then another 30% or so the second year, and then the last 50% in the third year and that was our plan. I think we are a little ahead of schedule that is at the end of the first year and of last year therefore, our run rate was more than 20% more in the 30% or so. And I expect by the end of this year we’ll be more than two-thirds done with our cost takeout actions. So, we are a little ahead of schedule and perhaps that is what you see in the - I show the chart that shows 120 bps of margin expansion at content FX from integration savings, as well as the regular operational efficiency work and cost takeout actions. So, we are well on track and again and ahead of schedule.
Erin Wright: And it was another nice step up growth bookings associated with Next-Gen offering can you characterize can kind of what you're seeing or where you’re seeing the most traction in terms of customer tights and how that’s generally resonating that would be great? Thanks.
Ari Bousbib: Yes, look EBP is segment is where we see the most traction. Our booking is generally in the segments have increased dramatically. I think we historically - we’re doing okay with the EBP segment but with the Next-Gen capability we’ve accelerated our penetration of the segment I would attribute to most of the growth in our bookings and you seen that we’ve had excellent record booking quarters and an accelerating trend our NNB on the old basis is up 15% year-over-year and we’re very pleased with our traction in the market. I think it's almost or about 70% of our bookings in the quarter were EBP. And obviously Next-Gen is a part of that.
Operator: One moment please for our next question and it comes from the line of Robert Jones, Goldman Sachs. Please go ahead.
Robert Jones: Just wanted to ask one on the EBITDA margin guidance for 2Q little bit below what we would expected especially in light of the revenue in the quarter and also the better revenue guidance. Is there anything specific worth calling out there or there are some spending items or anticipated expenses that we should be thinking about for 2Q. And then you for the back half of the years or anything else that you would you flag as far as the cadence of the EBITDA margin expectation?
Ari Bousbib: I don’t know what really you mean by lower margin and expectation. I think we showed here for the second quarter margin expansion of how much Andrew we have it can you get me that. We see significant margin expansion because revenue growth we guide through 4.9% to 7% which is pretty strong 5% to 7% and then adjusted EBITDA growing at 9.2% to 13.5%. So that’s like more than the 1.5 times growth on EBITDA versus revenue growth that we had guided to which is like a range of 80 to 120 basis points of margin expansion which is I don’t know I mean you expected more than that, but I think I don’t know may companies in our space that are expanding margin at a 100 basis points. I think perhaps what you're referring to is the absolute dollar number that you guys had out there for second quarter may have been a little bit higher than what - that the range we provided here which is $510 million to $530 million. And the reason for that you had no way to know what was second Q we provided 2017 recast on an ASC 606 basis at the end of last quarter so we didn’t give you the quarters, if you look in this release in the back of the earnings as we have Q2 2017 recast on an ASC 606 basis and you can see there that the growth and you can see the percentage. So maybe what you want to compare is the growth of EBITDA under the new standard versus the growth of EBITDA under the old standard that you had in your model. I think we’re also providing and you’ll get this right after the call. We recast every quarter of 2017 under the new basis that way you’ll have better ways to compare.
Andrew Markwick: You better find that Bob in the appendix of the slide that’s connected on the website.
Ari Bousbib: So, again very strong actually margin expansion even greater than in the first quarter in our guidance.
Robert Jones: I was always talking specifically more about the margin sequentially looked like its down 50 bps I’m sure you noticed obviously the EBITDA that you guided to was below where the street was not that on a year-over-year basis wasn’t impressive which is - clearly was maybe a cadence same where but the street was not modeling EBITDA across the next three quarters the way that you’re now guiding to it would seem.
Ari Bousbib: Yes, I think Andrew you want to take…
Andrew Markwick: I think we are seeing that Bob some of revenue be it in the first quarter is future stronger OpEx so that hasn’t got through to the EBITDA line and again the partner stronger you know in the first quarter. So, that where you’re getting a slightly weaker…
Ari Bousbib: But that would be a lower margin in the first quarter, I think Bob is saying that sequentially the margin okay let us look in that, but I think again I don't know whether the second quarter margin typically goes down or you want to take a look at that.
Andrew Markwick: There is a step down sequentially when you look at the quarterly raising for certain thing but we can take it offline Bob.
Operator: Our next question comes from John Kreger of William Blair. Please go ahead.
John Kreger: Mike, given all the work you've done on the conversion to 606, what's your current thinking about what the impact of this will be on 2019. So last quarter you laid out that the kind of the earnings headwinds in 2018 but you have any thoughts about how it will impact 2019 kind of upper or down? Thank you.
Mike McDonnell: John it’s really too early to tell on that. We did lay out the earnings impact for 2018 at about 40 million which was similar to 2017, and I would say I’ll go pretty back to our midterm guide where we continue to try to grow our revenue mid single digits we’re committed over the medium term to grow our EBITDA at least 1.5 times to topline and grow our EPS double-digit. So I can give you that kind of color for the medium term but I think in terms of 2019, we’ll get deeper into our planning process several months out and we’ll obviously have more color and guidance to provide at the time.
Ari Bousbib: I mean look obviously we are asking you the same question as you know we were first in our peer group to make the conversion. We actually run all of last year under the two standards already where most of peer not of all of them are actually doing it this year. And I realize for you guys it’s a real difficult to compare across the industry because our peers are reporting kind of apples and oranges. For 2019 what we said is the mix of projects we drive a lot of the - because of pass-through the amount of pass-through and that’s the biggest issue that that people we have. The more FSP work which is less pass-throughs and then that would normally tend to dampen growth. However, and we said that this year absent the 606 conversion we would have a significantly higher growth on our revenue topline for R&D and for the company as a whole 3.5 to 4 points on R&D and a couple of points on the topline. Nevertheless, we are confident because of the strength of the pipeline that’s building because the strength of our backlog to hold in the midterm - we were confident in holding the midterm guidance that we gave in November and that Mike just reminded us of mid single-digits revenue growth in aggregate. Remember that includes IES, which is almost 150 to 200 basis points of headwind. So we feel good about the growth fight, may be you take advantage of the question here to. I don't know yet about 2019, we’ll confirm that in the year when we provide guidance for 2019, but I would not - I don’t see why it would be different. 2018 revenue guidance that we reminded you of today is 3.6% to 5.6% range on the topline and the ASC 606 impact is a range of 170 bps to 220 bps right. So if you just readjust on the old standard our guideline translates on the old standard into a growth range for this year of 5.3% to 7.8% under the old standard, which is very good and certainly above the mid single-digit balance that we have given historically. Now again, if you are focusing on our largest business and take into account the headwind from the IES declines you also know that we divested a business called Encore last year we are happy we did that. However, it was with us in the first half of the year and it’s also a headwind that we don’t have it this year. So in aggregate the headwind from IES decline and Encore is 170 bps to 190 bps for the year. So if you add that back and want to understand the underlying growth under the old standards of the R&D business and the commercial business together it’s actually 7% to 9.7% growth for this year. That’s our guidance for the commercial R&D business under the old standard. Of course we benefit from FX and I think it’s about 150 bps I think no right we said – when we gave guidance last time we said it was 100 bps we had better FX in the first quarter now it has gone back. The euro was 120 when we gave guidance last time it is back to 120. So we had about $30 million or so of FX benefit in first quarter, which we are flowing through. So it’s call it 30 bps and plus the 100 that we gave it’s a 130 bps of FX benefit included in the 7% to 9.7% revenue guidance under the old standard for the R&D and commercial solutions’ business. That’s for 2018 and we certainly hope that as we go into 2019 we will continue to sustain these growth rates or better.
John Kreger: Maybe one quick follow-up. Thank you very much for added clarity on organic growth that you gave earlier on the call. For the commercial solutions’ business I think you indicated it was around 4% organic if you could break that down a little bit. How is the data business doing versus the technology solutions versus some of the services business that you are in there? Thank you.
Ari Bousbib: Again nothing change, if you go back and you look at the historic IMS numbers info was kind of flattish 0%, 1%, 2% depending quarter in and quarter out and on the organic basis and the tech what we call the tech service business, which is our technology business and our services business that grows typically in the high single digits organically, 8% plus or minus 1 depending on the quarter. The older real world business at IMS, which is a database real world business grows solid double-digits and the old Quintiles business a real world business, which is more a keen to clinical trials. It’s a lot of people and it’s a longer type of studies that grew in mid single-digits also. So in aggregate the real world business is kind of double-digit. So if you put it altogether you get to this 4% organic growth on the commercial side.
Operator: Our next question comes from the line of Shlomo Rosenbaum of Stifel. Please go ahead
Shlomo Rosenbaum: I just want to go over couple points just to make sure I understand them right were the next Gen type of awards 1.6 billion since the merger is that the way to understand it. And then also if you can get into a little bit of about the re-platforming of some of the technology on the salesforce.com platform and where we are with that and how that’s improving your competitive position?
Ari Bousbib: Yes, on the Next Gen yes you are correct. It’s a $1.6 billion of next-Gen awards since the merger. The OCE platform was launched, the replatforming was done for the CRM product as of the end of last year, I think we had the launch event in December I recall with sales force. And we are in the market now and we mentioned some of this most significant wins with PFI we record that team mostly midsize as you know the large pharma segment essentially is in the long-term contract with the competitor, but we have good hopes of winning back some of those over time. And in the meantime, we are the renew cycle is kind of beginning now 18/19 and we hope to win some of those back. But in the meantime, we are winning every single time that we compete on these type of products in the midsize segment.
Shlomo Rosenbaum: And then what’s the plan or what needs to happen to turn around the IES business. I mean is it realistic to that or is the goal to get it to may be – flat growth, what’s going to be considered success here and how you’ll get there?
Ari Bousbib: Well look during 2017, we evaluated several strategic options for the business. As you know including the sale process and I have talked very transparently about this. It’s the legacy contract sales organization, which had about somewhere $703 million and $760 million of revenue in 2017 and single-digit EBITDA margins. And after we have gone through the process and so it’s a fairly small industry and it goes in the cycles, we felt that it was not the right time and we decided to integrate this segment at the end of last year with our broader portfolio of offerings. So we are going to continue report it separately, but we are now managing it locally. It’s a very local business and when it was managed as a global entity it probably had too much costs and maybe it was bit far from client. So we are trying to integrate it with our regional and country level sales force and we try to leverage our technology and customer relationships to optimize operations. So hopefully we will report better numbers going forward, but again it’s not a market that has wind in it sales.
Operator: Our next question comes from Tycho Peterson of JP Morgan. Please go ahead.
Tycho Peterson: I want to go back to guidance for a sec just so we’re clear. You are raising by less than a beat here presumably that reflects kind of timing on the pull forward and reimburse expenses for R&D solutions. So maybe two questions there can you just give us the sense of how we should model that reimburse expense component of the next couple quarter and is that solely the reason why you are expecting the sequential decline.
Mike McDonnell: Yes. So Tycho, it’s Mike. On the reimburse expenses you should model that in a manner that’s consistent with what we said last quarter we estimated that the pass-throughs and the aggregate for the entire company would be on the order of $1.6 billion that is for R&D, commercial and IES we still think that’s about the right number. We have said that about $175 million of that $1.6 billion would be non-R&D and so if you take that $1.425 billion and divide by the quarter the pass-through did come in a little heavier in the first quarter at $390 for R&D, but we still think that, that’s due to phasing and we are still sticking with that that same estimate, which we what we baked into our thinking on the guidance.
Ari Bousbib: Yes the 1.6 includes some pass-throughs on the commercial side.
Mike McDonnell: Yes, I said that yes.
Tycho Peterson: And then Ari a question on real world evidence just two parts here, one is the FDA more receptive to kind of incorporating and looking at some of that data. And then on the pharma side are you seeing any evidence of pharma customers looking to use real world evidence to pursue label expansion at this point.
Ari Bousbib: Yes very much so, good questioned a lot of interest in doing single arm studies. I mentioned one again this is where you instead of having a cord of randomized patients that are going to take the drug and go through treatment and that we’re using a placebo for another parallel cord or several ones we don’t do that. We compare to a model and patients taken from out database and the FDA is very willing for label expansions to look to do that. And actually we are midst of a - we just won a very significant study. Obviously the more we do that the more it favors our business because we’ve got the asset here to deploy and so we are very excited about that.
Tycho Peterson: And then one last one, I appreciate the color you guys gave on Next-Gen award. Just curious on fixed price contracts overall where you are in rolling those out and what part of the backlog is fixed price at this point?
Mike McDonnell: Our Next-Gen award is becoming a bigger part of the mix overall it's probably inching towards about 50% of what we are bidding on these days. And a portion of that would be fixed price and we do fixed price and instances where we have good line of sight on recruitment and we feel like we have been comfortably commit to it so it would be a subset of that.
Operator: Our next question comes from Jack Meehan of Barclays. Please go ahead.
Jack Meehan: So want to focus on the new awards and R&D solutions were up 16%, looked very healthy, but could you talk about the pacing of the RFP flow you seem to start the year and any increased activity or interest around the strategic partnerships?
Ari Bousbib: The RFP flow is as healthy as it has been, actually a very significant number of RFPs coming through. We told you I think already last quarter that Q4 RFP was significantly higher than Q4, 2016. I can tell you the RFP flow Q1 2018 was significantly higher than Q1, 2017, so same trend. And then of course as you know we have a strategy we talked about before called see more, win more, so we’re casting wider net. And again very healthy momentum, our NNB on the old basis are up 15% I don’t know if we mentioned this but even in the quarter bookings are up 17.5% year-over-year and that obviously has far please we believe we are gaining market share and we are gaining a bigger share because of Next-Gen but partly also we see a healthy underlying market here. So the market is not growing at 17.5% but I think we see a healthy pipe here, there is no signs that is abating anyway.
Jack Meehan: Sorry if I missed this earlier, but related to the segment guidance that you provided last quarter, is it safer to say you feel little better about commercial and R&D solutions at this point and maybe a little towards the lower end with IES? Thanks.
Ari Bousbib: Yes.
Andrew Markwick: We’re coming up on the hour operator, so I think we probably got time for one more question.
Operator: Our final question comes from Ross Muken of Evercore ISI. Please go ahead sir.
Ross Muken: So maybe just on the sort of the technology side in the R&D business. I think you called out maybe some interest in the virtual trial side and we've heard a lot more interest in terms of the concept around the side list trial. Maybe give us a feel for one, where that interest is coming from and how to size or think about how that could play into the market. And then secondarily on the patient recruitment side or some of the other tools you’re employing to drive these kind of Next-Gen wins. Do you feel like you're getting the proof points in terms of that the client base market are more broadly because we are hearing at least from customers a lot more favorable sort of feedback or at least awareness relative to some of the ways you can influence start-up times and total cost of trial et cetera?
Ari Bousbib: Ross I'd love to spend a few hours here telling you about the stuff that we’re doing here in Next-Gen we just have a couple of minutes but we got a lot to say here on your question, imposing question because its speaks to the future of the industry. Just to touch on virtual trials again we're not going to totally eliminate the way we do trials today you still require the full understanding of the disease area, the study protocol, the country level regulations, and how to assemble the right process to deliver on a global scale. So you still need all of those things, right, but we have a very strong uptick in sponsor interest in an innovative way of managing the trials, to which the problem here is in classical trials, you have a lot of sites to manage it’s not unusual to have 100s of site in a clinical trial that you’re managing at the same time. And everyone of these sites has investigators and requires a separate start-up and separate system and CRS on this side and patients. So it is as a concept is a difficult machinery to make work at the same time. The virtual trial the idea is to have one site, one virtual site that then deals with all the local labs and deals with the patients at their location. If you think about it today less than 5% of eligible patients actually participate in clinical research, one of the main reasons is that a distance to a site is significant. The average distance that a patient who is enrolled in a trial struggles to a site is 50 miles, 70% of eligible patients live at least two hours away from a physical site and so largely don’t participate in a clinical trial. So the idea here of course is to reduce the cost, reduce the timeline but also make it a lot more efficient by using remote monitoring of patients at their homes. So in terms of how we are working on this obviously because we have a better understanding of where the patients are and with availability of centralized monitoring which as you know we have best-in-class capabilities in, we’re building out a technology platform that is something we call a study hub that facilitates video chats with investigators, telemedicine, eConsent you mentioned the technology acquisitions we did last year on the clinical side with DrugDev that’s part of that strategy scheduling, notification, the ability to send medical records and to answer study to questions like simple questions, how are you feeling today? Did you take your medicine and so on. Plus the relationship with the local labs, so all of these present an extraordinary opportunity. If you ask me what is the pipeline, again it's not - I think the total pipeline we have now we probably - I am going to say $100 million of opportunity in total and this is several small studies again mostly with EBPs with difficult diseases and so on. But I think there is growing interest and we have a lot of conversation. The regulators are very supportive, FDA also in Europe, the EMA very supportive and encouraging us to explore new ways of doing this as long as we maintain patient safety of course and data integrity. And again with the technology that we have we are able to do this. Again the idea is to reduce the patient burden to streamline the start-up because it just the one virtual site. It’s a much shorter, there are patient recruitment facilitated because it’s a expanded patient access, the patient would not normally participate because they are too far from the site would participate. We have a 100% remote monitoring maybe with very limited visits but again considerably reduce the CRA trouble to sites facilitate I think the data integrity would be much higher because it would be all electronic and there will be consistency of process versus inconsistent across sites and a mix of electronic systems depending on the sites et cetera. So there is a lot of interest, I could spend a lot of time on this. As I said there is a just a couple of minutes. So again we are very excited and under the proof points on Next-Gen it’s going to accelerate. The proof points we are able to show now are on a much larger sample. Last time we spoke about this, I guess it was in November Investor Meeting. We only had a very few Next-Gen trials that were starting up, literally a handful that we could speak about. Today, we already have several dozens that are full speed ahead and that for example, we have 70 trials at the moment where we already in the patients enrollment stage. And this 70 trials include over 1800 sites. So the data that we can use to prove the effectiveness of Next-Gen over traditional approach is much broader and it’s a broader scale and the more time goes by, you will see Next-Gen award that we won are on start-up mode and we will be able to have a broader base for our proof points. With that, thank you very much for the question and for the call. Andrew?
Andrew Markwick: Yes, thanks very much everyone. Thanks for taking the time to join us today and we look forward to talking with you on our second quarter 2018 earnings call. I will be available for the rest of the day to take up any follow-up questions you might have. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Thank you and have a good day.